Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:05 Good morning, everyone, and welcome to the Inspired Entertainment Fourth Quarter and Full Year 2021 Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. Please note, today's event is being recorded. 0:28 I'll begin today's conference call by referring you to the company's safe harbor statement that appears in the fourth quarter and full year 2021 earnings press release, which is also available in the Investors Section of the company's website at www.inseinc.com. This safe harbor statement also applies to today's conference call as the company's management will be making certain statements that will be considered forward-looking under the securities laws and rules of the SEC. These statements are based on management's current expectations or beliefs and are subject to risks, uncertainties and changes in circumstances. In addition, please note that the company will discuss both GAAP and non-GAAP financial measures. A reconciliation is included in the earnings press release. 1:18 With that completed, I would now like to turn the conference call over to Lorne Weil, the company's Executive Chairman. Mr. Weil, please go ahead.
Lorne Weil: 1:27 Thank you, operator. Good morning, everyone, and thank you for joining our fourth quarter and year-end conference call. I'm here today with Brooks Pierce and Dan Silvers. Our CFO, Stewart Baker, is recovering at home from an illness, and we expect Stewart to be back at work in a week or two. Stewart, if you're listening, we look forward to seeing you back in the office shortly. You need to rest up because there is a lot of work to do. We feel as though we ended the year firing on all cylinders, the integration of the Novomatic business interrupted the last couple of years by the fits and starts of COVID is entirely complete. The businesses are beautifully integrated from both an operating and revenue point of view, and each of the components is performing as well as we could have hoped. 2:23 At this point, we're particularly pleased with the performance of the pub business, where we are steadily gaining both margin and market share and expect more growth and margin improvement to come as we complete the analog to digital conversion. We have had conviction going back at least 10 years to our Scientific Games days that there was a great opportunity for our style of digital server-based gaming in the pub sector. But 10 years ago, unfortunately, we were for better or worse, ahead of our time. But now the time has definitely come, and this business is really coming into its own. I might also mention that at the same time, some of the acquired Novomatic titles are among our best performing online games, so we're seeing real omnichannel revenue synergies here also. 3:19 What we think of as our digital businesses, iGaming and Virtual Sports ended the year far ahead of last year in both revenue and profitability with margin improvement illustrating the way these businesses scale. As we mentioned in our last conference call, these businesses together are approaching 50% of our overall EBITDA, and we expect we will move well beyond that as we exit 2022. 3:50 A couple of days ago, we launched iGaming in Connecticut with DraftKings and we just released our iGaming license in Ontario, my home province. By the way, earlier this week, we had plans to launch in Ontario in April. And at the same time, we can see Pennsylvania clearly on the horizon. Along with a number of new jurisdictions in virtual sports, we see this whole digital area as a tremendous driver of revenue growth, margin expansion, and asset utilization. For years, we were trained in the paradigm of revenue growth/margin improvement/asset utilization, you could pick any two, but we seem to be in a new paradigm now where if you understand what you're doing, you actually get to have all three. 4:48 In a moment, Brooks will go into these areas in more detail because there are a [indiscernible] number of important developments taking terms -- taking place in terms of products, markets, geographies, and so forth. Financially, of course, we could not have ended the year any stronger. Every measure of revenue and profitability was at a record level as was our liquidity position. We ended the year with about $48 million in cash and $75 million in liquidity, including our undrawn revolver. And our net debt to EBITDA was down below 3 on a stabilized basis. All of this taken together gives us confidence that our platform is ready to move very aggressively to the next level. Bear in mind also that the cash and liquidity balances are after the completion of the Sportech Lottery acquisition of about $12 million. So that, excluding this, our cash and revolver were together close to $100 million, a rather remarkable achievement considering where we were in the depths of COVID. The Sportech Lottery acquisition itself fits a critical piece into our strategic mosaic. 6:08 As we have explained previously, we paid about $12 million for a three-year run rate EBITDA of about $4 million. So in effect, the purchase price was equal to the profit remaining in the existing contract. At the same time, we are fortunate to have been able to extend the contract with LEIDSA, the customer for an additional 10 years effectively generating therefore, at least $40 million of [indiscernible]. This was certainly a neat piece of financial engineering, but it's not the real reason we did this, although by itself, it's obviously made a compelling case. 6:50 When we're finished with the development and launch of the iGaming platform in the Dominican Republic, we expect to see significant immediate upside there, given the very high incremental margin on revenue. We expect that the DR will give us an operation with a strong retail foundation where we can refine and showcase our iLottery content, which will be greatly beneficial worldwide. We see significant opportunities to use the DR as a platform to grow our business throughout the Caribbean and Latin America. Markets, again, from our past that we know extremely well. 7:32 And lastly, and maybe most importantly, I believe we will end up with a state-of-the-art, probably beyond the state-of-the-art cloud-based lottery system cable supporting both iLottery and land-based lottery systems anywhere in the world. I should also mention that we have assembled a really world-class team of lottery system developers under the leadership of our global Chief Technology Officer, Steve Beason, who some of you may remember was for many years prior to joining us, the CTO of Scientific Games. And here, I'm referring to the lottery company not the light and wonder company and before that GTECH, now IGT. 8:30 Lastly, I should just mentioned that as a first time accelerated filer this year and adding to that the increased reporting requirements that we now have as we moved this year from SOX 404A to SOX 404B , we will be intending to file our 10K by March 31, within the automatic extension period. 8:56 And with that, I will hand it over to Brooks.
Brooks Pierce: 9:00 Okay. Thanks, Lorne. And I share your views that we're seeing excellent performance across all the segments of our business and have an outsized number of opportunities we're working on that we are confident will continue our momentum in 2022. As we've learned from the experience with COVID and now with the war in Ukraine, general macroeconomic issues, supply chain challenges, et cetera, there are a number of things beyond our immediate control. I do take comfort, however, in the amazing resiliency and tenacity of this management team to take on any challenge they confront head on and find ways to continue to build this company to realize its potential and we want to express our respect and admiration and appreciation for the work that they've done over the last couple of years. 9:46 So as we've done in the past few calls, I'd like to go into a little more detail on each of the areas of the business. and report on our progress and what we're working on in each but aligned with our core strategy of growing our digital businesses and its increasing EBITDA contribution by leveraging not only our existing content portfolio but as well as our content creation. I'll also update on our progress in North America, specifically, that's a geography for which we see tremendous potential to grow our footprint substantially. 10:17 Moving into the business segment. So the Interactive business had a strong fourth quarter with 36% year-over-year revenue growth as well as revenue growth throughout all of 2021 of over 72% even with the land-based businesses coming back during the second half of the year. North America, in particular, showed strong growth throughout the year. As Lorne mentioned, we've just gone live in Connecticut with DraftKings and we'll be going live in Ontario, hopefully, in the second quarter after now receiving our license. We already have agreements in place with most of our customers, and we think Ontario is going to be a very strong market. We hope to be live in Pennsylvania in Q2 as well subject to licensing approval. 11:01 And as I've mentioned in the past, we're currently serving roughly 70% of the markets in New Jersey and Michigan and would hope to add both FanDuel and Penn National by the second half of the year, which should get us close to 90% of each market. So you can see that by the second half of the year, we're expecting several key market drivers to accelerate our growth trajectory in this segment. We continue to produce 3 to 4 new games monthly, and that combined with the quality of our games coming out of our studios is driving share gains as part of our organic growth. Needless to say, we're very bullish on the prospects for this part of our business. 11:38 Now moving on to Virtual Sports. Our Virtual Sports business continues to perform exceptionally well and we're excited about the footprint we're building with the online aspect of this business as our Virtual Plug & Play, VPP. Product went live in additional markets like Belgium with Napoleon and Greece with both OPAP and Novae (ph) and early results are very encouraging. 12:03 Q4 revenue growth of 26% illustrates the potential we see for this business with online continuing to grow and land based now back at pre-COVID levels across our geographies. North America, we now have a launch date of April 4 for our second US lottery customer, the DC Lottery and we'll be introducing a new football product with the Pennsylvania lottery in the second half of this year. We remain very bullish on the lottery sector is a great market for Virtual Sports in North America, as we have seen in some of our big lottery customers around the world, including OPAP in Greece and Sisal (ph) in Italy and Turkey. 12:38 On the product side, we have a number of enhancements coming out in 2022, including our first women's soccer game in time for the women's Euros tournament this summer, and we are signing customers currently for our newly licensed Major League baseball players, Alumni Association Home Run Shoot Out, which I have to tell you, looks amazing in development. 13:01 Moving over to the Leisure segment. So our Leisure business grew well with revenue up 183% compared to the prior year Q4 due to a number of factors, including reduced COVID restrictions, extended season for holiday parks, increased traffic to our MSA locations. And as Lorne mentioned, the continued growth in our pub sector, as well as reaching now 78% of the estate being digital, with the majority of the rest of the estate converting in the rest of the first half this year. 13:31 The Prismatic cabinet continues to be the leader in Cat C gaming and pubs, and we're excited to be introducing our Vantage cabinet later this year, not only to our pub customers, but also our LBO and AGC customers as well. As we've said a number of times, we designed our games to work across our product portfolio, including online, leisure and our gaming segments, and we are seeing the benefit of this omnichannel strategy with players' recognition of our brands and the ability to play our games in whichever venue or mode they choose for themselves. 14:06 As Lorne mentioned in his remarks, we firmly believe that the pub sector will recover well from the COVID restrictions and increased footfall should drive machine play with our content and cabinet performance being major drivers for the success in this segment. Last, the Gaming segment continues to perform well with land-based back to pre-COVID levels across our major geographies of the UK and Greece. In Greece, we've seen our lead and performance expand over Q4 and believe the addition of some of our new key titles of our own, along with the first game from Aristocrat being introduced to the market, will strengthen our offering in this key market. 14:47 We completed the transition to a content and platform provider in the Italian market with our deal with Crystal Tech (ph) finalized, and we're seeing the benefits to our P&L taking hold. We continue to expand our footprint in Illinois and have introduced some new content and a road map for additional content going into the market in Q1 2022, that should continue to improve our performance in that highly competitive market. And we've submitted a number of proposals to several key North American VLT markets in Q1 and expect to report on those in future earnings calls. 15:21 Last but certainly not least, we're delighted to now have 2 months under our belt with our Leza lottery customer in the DR and early results are very positive. We expect to expand their offering to make it available online in the first half of 2022, which could expand the sales opportunity significantly in that market. Lorne and I both worked with Leza for many years in our prior lives, and they run a world-class lottery, and we look forward to building a lottery platform for them that's state-of-the-art and will be an opportunity for growth for us in markets outside of the DR and will include the ability to be a platform provider for iLottery as well. 15:59 So needless to say, we have a lot going on at the moment as we continue to build this business. And clearly, our financial position gives us increased flexibility as we expand organically as well as review the many opportunities going on out in the market today. So thanks, and I'll hand it back to Lorne for his closing remarks before we take Q&A.
Lorne Weil: 16:19 Thanks, Brooks. I don't actually have anything to add. I think you did a great job of summing up where we are. So operator, if you're standing by, we can open the program up to Q&A, please.
Operator: 16:39 We will now begin the question-and-answer session. [Operator Instructions] The first question comes from David Bain with B. Riley. Please go ahead.
David Bain: 17:06 Great. Thank you and congrats on another strong quarter and our best to Stewart. First, just because it's very topical, just given the geopolitical macroenvironment, any change that you're seeing in player habits, particularly in retail or potential CapEx, or buying activity from route operators, whatnot in North America or any of the other business initiatives that you have?
Brooks Pierce: 17:34 No. Amazingly, thus far. And as you know, Dave, we track this kind of daily. We're not seeing anything in the European markets, which you would probably expect if there is any impact we'd see it there, [audio disturbance]. Certainly, I don't see it in the Illinois route market as well. I know [Dassault] (ph) just reported their results, which were terrific. So the Illinois market continues to be robust. And as I mentioned in the -- in my remarks, we've got some proposals out, and we hope to be reporting on that later in the year. So no, so far, so good.
David Bain: 18:14 Okay. Great. And then if we could circle back on the strategic opportunity of Sportech with the Cloudtech, it just seems like that may be transformative for your iLottery initiative. And if I'm gathering it correctly, Sportech is going to allow you to be both a platform provider and you're already a content provider and you will be for iLottery. So can you describe like the take rate differential perhaps in the strategy to be more active as a platform and content provider perhaps outside the US versus more content related in the US, and if there's any update with US iLottery, that would be great, too.
Lorne Weil: 18:59 Hi, David, it's Lorne.
David Bain: 19:00 Hi, Lorne. I know that was a lot, but…
Lorne Weil: 19:07 No, overall…
David Bain: 19:09 Kind of the strategic...
Lorne Weil: 19:10 I definitely understand the question. But anyway, just to clarify, the we -- the contract that we bought is a contract that is currently held by UK companies, Sportech, the customer is the operator of the National Dominican Republic lottery, called LEIDSA, L-E-I-D-S-A. It's an acronym that I have no idea what it stands for. I'm pretty sure the L stands for lottery, but after that, I can't tell you.
Brooks Pierce: 19:53 Electronic.
Lorne Weil: 19:54 Electronic, yes. So just so we have the nomenclature right. I mean from what we see in various contracts around -- I think it's probably in the ballpark to say that being able to supply an iLottery platform to use your term, we're probably about double the potential take rate relative to just providing content. So, if our market opportunity before was x by having the platform itself that would go to 2x, and we're getting a little bit ahead of ourselves. But because of the way we're architecting this system, it will work not just well, but beautifully also as a retail lottery system. So, I can't say where our focus would be from a marketing point of view for doing that, but initially it would probably be outside the United States. But if adding the iLottery platform to content doubles the take potential, I'd say having a system that can do retail probably doubles it again. 21:34 So again, based upon my whatever, 30 or 40 years in the lottery business, but we're going to take it a step at a time. Right now, our main focus is the iLottery content opportunity because that's the one that's really growing. And as we said in the press release, the DR will be hugely helpful there because then we can put all the lottery content that we have as we develop it, and we'll see which ones work, we’ll be able to demonstrate that they work, refine them and fine-tune them and so forth. So that's kind of how we think about this -- the whole lottery thing. And of course, the beauty is that here, the synergy between gaming and lottery is extraordinary. I should just pause for a second. 22:45 There's some -- it's possible to have different philosophical views of this whole thing. I always felt, again, back when Brooks and actually Amy's here, so Amy were all at SciGames that there was potential phenomenal synergy between the gaming business that we had begun to build at the time Brooks, and I left and the lottery business. I think what SciGames has done in terms of how they've disintegrated the business for them is actually quite brilliant, but I -- but for us, I am overwhelmingly convinced that the synergies are tremendous and no place more than the opportunity to use the enormous content library that we have now in iGaming and repurpose that content for iLottery. And so that's -- that's where we're really focused right now, and I'll just make one more point and then I promise I'll shut up is, and Brooks alluded to this, is we're really getting to be very excited about the opportunity in the lottery world for virtual sports and beyond. The couple of lotteries that we have now, I hope, in the next month or 2, we'll make some interesting announcements about further developments of virtual sports in the lottery space.
David Bain: 24:50 Very cool. Awesome,. Thank you.
Operator: 24:57 The next question comes from Barry Jonas with Truist Securities. Please go ahead.
Barry Jonas: 25:01 Hey, guys. Good morning. I wanted to follow up on the lottery on LEIDSA. There's a few large players, as you know who dominate the traditional lottery space. Can you maybe just talk about what you see as your sweet spot for new contracts going forward and maybe help size the opportunity?
Lorne Weil: 25:33 Yes. I'm sorry, Barry. It's one of those mornings. I would say that every lottery in the United States and indeed the world is our target market for the iLottery content. There is absolutely no question about that. We're seeing this unfold very rapidly. And much like the iGaming business in North America, it's really in its infancy. There are only a handful of states that are doing iLottery now, but I think it's going to -- it's going to accelerate exponentially across the country just the way iGaming is doing. 26:39 In terms of sizing it, the -- In countries like the UK, for example, that have been at it for a number of years and are doing it extremely well and other jurisdictions. So the iLottery is comfortably has grown to be 20% or 25% of lottery revenues with no indication that it cannibalizes the underlying lottery business. I think the worldwide lottery business retail sales are around $300 billion. I think coming on close to $100 billion of that is in the United States. So this 20% or 25% of that is the potential for iLottery. That's probably not a crazy number. 27:42 And as I, let's say, estimated a moment ago and the answer to David's question, I would imagine that the split between that would be 50/50 between content and the core iLottery platform itself. In terms of our focus, I think in North America, we're going to be primarily focusing on iLottery content. And I would think that our, at least the early days of developing our iLottery platform and ultimately, retail lottery platform initially would probably be focused outside the United States in markets that we've had -- Brooks and I have had years of experience in. And I think we have good opportunities to develop the business.
Brooks Pierce: 28:46 Yes. I mean, Barry, let me just add one more point. I think one of the advantages that we see as we're starting this development from kind of a clean sheet. So we think that there is some innovation and some benefits that we can bring to the whole segment. And I think as Lorne said, probably our focus outside of the iLottery stuff will be outside of North America first, but we expect to build a world-class lottery platform that can be both iLottery and retail, and it's a lot easier kind of starting from scratch than some of the stuff having to modify some of the existing systems as others would have to do. If that helps you.
Barry Jonas: 29:32 That -- That's great. And then just as a follow-up question. Any updates on the UK gaming regulatory review? I think our thoughts, or you're better positioned than others there. But just curious if you can share any updates as you're aware.
Brooks Pierce: 29:47 Yes. The only update that I have is that at least what's been signaled is the white paper that everyone has been talking about for some time, looks like it's now going to be May. And we don't have any reason to believe that it's going to be anything different than what we've talked about on prior calls. I think what's happening -- what we're seeing is the operators themselves are getting more and more aggressive on responsible gaming stuff in advance of the white paper, hopefully, to take preemptive moves to address any of the operating issues that they may have before the paper comes out. So we’ll, like everybody else, we'll kind of wait to see what happens in May.
Barry Jonas: 30:38 That's great. Appreciate it and best wishes to Stewart. Thanks.
Brooks Pierce: 30:41 Thanks, Barry.
Operator: 30:46 The next question comes from Ryan Sigdahl with Craig-Hallum. Please go ahead.
Ryan Sigdahl: 30:52 Good morning, guys. And Stewart, hope you're feeling better. Two questions for us. First, Interactive segment was down sequentially, good year-over-year growth and pretty steady trend. But anything to comment, I guess, directionally on what happened in Q4 relative to Q3 in the trend?
Brooks Pierce: 31:10 Yes. October and December were actually better. November was not. And that was primarily due to -- there's a whole set of regulations that needed to be implemented that came out of the UK in terms of spend speed, et cetera, et cetera. And we made that transition in November. And frankly, it took up a lot of our time and capacity, and we didn't have as many new games in the market as we normally do. So we took a little dip in November, but what we're seeing in the first quarter makes us feel good about how the business is going. So kind of a little blip in November, but it's about it.
Ryan Sigdahl: 31:53 Helpful. Then just on the new Vantage hub cabinet that you mentioned. Can you talk through kind of what the new features are? What's exciting about that one relative to the past ones you have out there today?
Brooks Pierce: 32:05 Yes. Thanks. It's a good question. We're kind of super excited about it, and we've just started showing it to customers. And I think from a hardware perspective, it's bigger, brighter, newer screens. But really, what we think -- what we're seeing and this kind of goes to the omnichannel strategy is the kind of cross-pollinization of our content. So because now when you're in -- particularly in the UK, there's really no real difference between a pub experience, an adult gaming center experience and LBO experience. So what we're doing and from a menu standpoint, maybe this is getting too granular, but from a menu standpoint, you'll be able to kind of navigate to whatever type of game that you like, if you're used to playing in an AGC and you walk into a pub, you'll see content that you recognize, same thing with LBO. And the feedback that we've gotten from our customers, there was just a big amusement show last week, was amazing. 33:12 So as Lorne talked about, we may have been a little too early in the pub market before. But I think the pub market is really morphing into server-based, digital, changing content, content of all different varieties in a kind of cool menu. And again, I think with the increased footfall coming back post-COVID, we're expecting to drive the cash box in the pub for -- obviously, for us but also for our pub customers higher and higher with everything that we're doing. So we're pretty excited about this product.
Ryan Sigdahl: 33:49 Great. Thanks, guys. Good luck.
Brooks Pierce: 33:52 Thank you.
Operator: 33:55 The next question comes from Chad Beynon with Macquarie. Please go ahead.
Unidentified Analyst: 34:01 Hey, good morning. This is Aaron on for Chad. Thanks for taking my questions. Just wanted to touch on the interactive segment again. And it looks like you've continued to have good momentum launching with new customers here. Can you just talk about what sort of investments are needed to support growth from here? And how we should think about margins in 2022?.
Brooks Pierce: 34:24 Yes. I think where we're investing our money is obviously continuing to invest in the content pipeline, but also investing in -- it's going in line that we don't have. Continuing to invest in integrations. So I think what you'll see from us going forward is more direct integrations with customers as opposed to going through integrators, which will certainly increase our margin because we won't be having to pay 20% to somebody to integrate. So I think in terms of both scale and kind of more direct integrations, you can expect to see the margins improving as the business kind of grows. And I think Lorne alluded to that in his remarks.
Unidentified Analyst: 35:13 Great. Thank you.
Lorne Weil: 35:19 And we just -- I think what we'll see as a tremendous illustration of that, Chad or Aaron. It’s Aaron for Chad.
Lorne Weil: 35:34 Oh, I'm sorry. Aaron for Chad. Yes, I thought you didn't sound like Chad. Didn't have that, yes. So when we hopefully launch in Ontario in April, as Brooks said, now that we have we just were informed yesterday that we have our license, and we have probably a dozen or more customers, operating customers in Ontario already signed to contracts. In all of the -- the technical work is done and it's the exact same library of games that we've developed for our other markets. 36:23 Essentially all of the revenue that we'll be getting from Ontario should be or 90% of it drop to the bottom line in of profitability. So each time we add another jurisdiction like that, and again, particularly because it's always more or less the same set of customers selling the same games, our incremental investment, except occasionally, if there's a new customer doing a new integration is remarkably low compared to the incremental revenue and margins. And this sort of goes back to the point that I was making in my prepared remarks. When I kind of have joked, we said it used to be revenue margins, capital pick any 2. But this is as point in an example of now you really get -- you get to have all 3. And I haven't ever in my -- I'm depressed to stay almost 50-year business career haven't ever really seen anything like this. So it's really very unique.
Unidentified Analyst: 37:51 That’s great. Thank you.
Operator: 37:58 [Operator Instructions] The next question comes from Edward Engel with ROTH Capital. Please go ahead.
Edward Engel: 38:11 Hi, thank you for taking my question. Just to follow up on the last one. At this point, do you feel like you're now live with all the major content aggregator platforms? And then I guess, as a follow-up, do you think that maybe even owning one of these platforms could accelerate both your distribution and then maybe even boost your margins on your own games?
Brooks Pierce: 38:29 Well, I'll answer the first one, and I'll let Lorne answer the second one.
Lorne Weil: 38:33 I knew you were going to do it.
Brooks Pierce: 38:35 Well, I let you [Indiscernible].
Lorne Weil: 38:37 Yes.
Brooks Pierce: 38:40 Yes, we are. We've integrated with pretty much everyone that we need to. So the perfect illustration of that is Ontario. So I think we expect to hit the ground running with kind of over 20 customers when they open on 4 without really much work at all. And I think that's a testimony to the idea of that we're integrated with everybody. But no, I actually think we, as a company, and I think our customers would prefer to have direct integrations with us. And I think that's a trend that you'll probably see, certainly with our bigger customers that will be going directly with them more often. But I'll let Lorne give his views on the aggregator business.
Lorne Weil: 39:34 Yes. Well, on the aggregator part, is actually kind of a complicated question. In general, I don't like putting us or any business that we're putting us in a position where we're competing with our customers. So I think if we were to consciously and deliberately go into the aggregator business, we would obviously be competing with the aggregators who are customers of ours now and I wouldn't be comfortable doing that. 40:26 But in a certain sense, we are in aggregate -- Brooks mentioned a minute ago that in Greece, for example, we're going to be putting Aristocrat game on our Greek platform. So more and more of what's sort of happening is that a lot of our customers, even where we're providing the primary platform or in the case of the iGaming business, the remote game server that these games sit on or in the licensed betting office business in the UK, where we have, in many cases, other people's games on our platform, we've always had the philosophy of having as open a system as we possibly can so that our customers don't feel like they're stuck having to only have our games. And if they have other games that they want us to make available then we're obviously happy to do it. 41:39 So we're sort of drifting in a way into the aggregator business but at the initiation of our customers, and we're happy to do it. But I don't think -- we can always change our mind, right now this minute, I wouldn't see us, for example, going into the aggregator business in a way that we'd be competing, for example, with Scientific Games. I just don't think that's something we're going to do.
Edward Engel: 42:07 Great. Thank you.
Operator: 42:14 This concludes our question-and-answer session. I would like to turn the conference back over to Lorne Weil for any closing remarks.
Lorne Weil: 42:22 Thank you, operator. Now again, I don't have much to add. I think actually the questions that we had this morning were as good a collection of questions as I can recall any conference call are having had in the last few years at Inspired. So I appreciate everyone who asked the questions. And we continue to appreciate your support. And I'm trying to think of when we'll be reporting in the first quarter, but probably in mid-May. So we'll be talking to you in mid-May and look forward to doing that, then. So thanks, again. Bye.
Operator: 43:18 The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.